Operator: Good afternoon, ladies and gentlemen and welcome to the ZipRecruiter Q3 2022 Earnings Conference Call. [Operator Instructions] And now at this time, I’ll turn things over to Amy Garefis, Chief Accounting Officer. Please go ahead, ma’am.
Amy Garefis: Thank you, operator, and good afternoon. Thank you for joining us in our earnings conference call during which we will discuss ZipRecruiter’s performance for the quarter ended September 30, 2022 and guidance for the fourth quarter and full year of 2022. Joining me on the call today are Ian Siegel, Co-Founder and CEO; David Travers, President; and Tim Yarbrough, CFO. Before we begin, please be reminded that forward-looking statements made today are subject to risks and uncertainties relating to future events and/or the future financial performance of ZipRecruiter. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risk factors that could cause actual results to differ materially from any forward-looking statements can be found in ZipRecruiter’s quarterly report on Form 10-Q for the 3 months ended September 30, 2022, which is available on our investor website and the SEC’s website. And forward-looking statements in this conference call are based on the current expectations as of today, and ZipRecruiter assumes no obligation to update or revise them, whether as a result of new developments or otherwise. In addition, during today’s call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP results. Reconciliations of the non-GAAP measures to the nearest GAAP metric are included in ZipRecruiter’s shareholder letter and in our Form 10-Q. And now, I will turn it over to Ian.
Ian Siegel: Thank you, Amy, and good afternoon to everyone joining us today. Q3 ‘22 marked another strong quarter for ZipRecruiter. At $227 million, revenue exceeded the high end of our quarterly guidance, representing an increase of 7% from Q3 ‘21. Adjusted EBITDA of $52 million was also above the high end of our guidance range. This equates to an adjusted EBITDA margin of 23%, which was 3 percentage points higher than Q3 in the prior year. ZipRecruiter has once again demonstrated that regardless of near-term macroeconomic conditions, we operate a flexible and profitable business model and that we can thrive in a variety of economic environments. During this past quarter, overall demand for labor in the U.S. eased, continuing the trend that began in Q2 of 2022. However, we believe that the cooling labor market provides opportunities for us to strengthen our position as an industry leader. First, thanks to the substantial long-term investment we’ve made and continue to make into jobseeker brand marketing. ZipRecruiter’s aided brand awareness among jobseekers is over 70%. With job opportunities declining, we believe ZipRecruiter’s platform will be a top-of-mind solution for a high volume of new jobseekers. Those new jobseekers will be met by Phil, our AI personal recruiter, who in Q3 continued to improve, both his ability to learn who you are and also in the quality of recommendations he makes. Phil is not a single feature that a competitor can easily replicate but rather an overall job search experience that dynamically tailors itself to individual specific preferences. With Phil as their guide, jobseekers who complete over half of their profile are 10x more likely to be directly contacted by an employer via Invite to Apply. We believe that driving great outcomes like this for jobseekers during their time of need will create enduring loyalty to ZipRecruiter. Second, as the labor market rebalances with more talent available, we believe ZipRecruiter is ideally positioned to take advantage of employers’ rising candidate quality standards. Last quarter was replete with significant wins in our AI-driven matching technology, including a major update to the metal learning model, which suggests lists of potential strong fit jobseekers for employers to consider inviting to apply. This update to one of our ZipRecruiter’s features resulted in both an 8% increase in invites sent by the average employer and a 15% increase in the number of responses received. By persistently retraining our algorithms, ZipRecruiter expands our advantage in delivering quality candidates to employers. Third, thanks to the substantial long-term investments we’ve been making into integrating with third-party applicant tracking systems. We expect to continue successfully driving adoption amongst enterprise employers. As of Q3, we have now completed integrations with over 140 applicant tracking systems. We believe partnering and integrating with so many third-party systems has at least three benefits: first, it makes it easy for new enterprise customers to activate ZipRecruiter as a recruiting solution; second, it creates a better experience for jobseekers who never need to leave ZipRecruiter to apply to these employers jobs; and third, it represents an ever-increasing moat to competition given that implementing so many integrations has taken nearly a decade. As talent becomes more readily available, we expect enterprises who have larger budgets and persistent hiring needs to be even more receptive to the simplicity of ZipRecruiter’s tools and comparatively low cost to deliver quality candidates. Now, I will turn it over to our President, David Travers, to talk through some of the progress we have made against the three pillars of our marketplace strategy.
David Travers: Thank you, Ian, and good afternoon, everyone. Zipercuter’s continued execution against our three strategic pillars keeps us well positioned to win. We made great progress in the third quarter and I am excited to share some highlights with you. We will start with our first strategic pillar, which is increasing the number of employers in our marketplace. ZipRecruiter has always provided a streamlined applicant tracking system, or ATS, to small and medium-sized businesses as part of their job posting subscription. In Q3, we redesigned the way in which employers review and manage candidates across all stages of the hiring process. This helps employers manage their candidate pipeline with even greater ease. After only a few short months, over 30% of eligible employers have used the workflow enhancements to manage their applicants. We also made improvements to products geared toward our larger enterprise customers, jobseekers tell us that applying the jobs can be an arduous process when filled with multiple applications to submit and profiles to create across different ATSs or career sites. Ian mentioned the integrations with numerous ATSs a moment ago. Our ZipApply product seamlessly connects and employers external ATS to our marketplace, providing an easier application process for jobseekers. ZipApply gives our customers 3x higher conversion rates on their jobs. As of Q3, we now have integrations with over 140 applicant tracking systems. Now I’ll discuss our second pillar, increasing the number of jobseekers in our marketplace. We’ve been making significant investments in building the jobseeker side of our marketplace through both product innovation and brand marketing. We continue to build upon the early success of Phil, our AI-enabled personal recruiter. In fact, jobseekers tell us how they feel about Phil through their actions. New users coming through our Phil-based experience are 2.7x more likely to complete the registration compared to our prior jobseeker onboarding experience. Over 50% of new jobseekers come to ZipRecruiter not knowing the specific type of job they want. Phil now specifically addresses the unique needs of this group, engaging with those who do not know how to begin their search to better understand the type of work they would prefer. This discovery process opens up the aperture of job recommendations, giving jobseekers visibility roles they may previously not have found. Employers love this feature as well since their jobs are now exposed to a broader set of qualified candidates. Fine-tuning job figure matches comes from a combination of how jobseekers react to jobs in our marketplace and from the information we gather in their jobseeker profile. While Phil’s intuitive conversational approach has been a great way to encourage jobseekers to share information, in Q3, we made it possible for jobseekers to build and update their profile from their e-mail using AMP technology. With this addition, we have more than doubled the rate at which jobseekers complete their profiles. Jobseekers completing just over half of their profile are 10x more likely to receive an invitation to apply for a job. I will conclude with our progress around our third pillar, making our matching technology smarter over time. We deliver great matches to jobseekers by developing a deep understanding of who they are. We build this understanding through observation of a variety of factors, and jobseekers can now actively train ZipRecruiter on the jobs they prefer by reviewing and providing feedback on a set of potential opportunities. Jobseekers completing this calibration process receive 2x more invitations to apply to jobs. We also enhanced the algorithms, which drive our Invite to Apply product. Invite to Apply allows employers to identify strong fit potential candidates and invite them to apply to their job. In Q3, we updated the entire meta-learning model to include an algorithmically-driven prediction of a jobseeker’s likelihood of applying. This update resulted in both an 8% increase in invites sent by the average employer and a 15% increase in the number of responses received. The progress we made in Q3 gives us greater confidence in our ability to execute going forward. Now I’ll turn it over to our Chief Financial Officer, Tim Yarbrough, to talk through the third quarter results as well as our updated guidance for the fourth quarter and full year 2022.
Tim Yarbrough: Thank you, Dave and good afternoon everyone. Our third quarter revenue of $227 million exceeded the high end of the guidance we provided in August. This represents 7% growth year-over-year and is reflective of a cooling hiring environment as well as facing particularly challenging comparisons against Q3 ‘21 when we grew 107% year-over-year in the post-COVID reopening of the economy. Paid employers were 136,000, representing a 20% decrease versus Q3 ‘21 and a 13% decrease versus Q2 ‘22. The year-over-year decrease reflects heightened hiring demand last year as employers and particularly small and medium-sized employers rushed to keep pace with the reopening of the American economy. The sequential decrease from Q2 to Q3 is due to the macroeconomic cooling Ian discussed earlier and is consistent with the environment we mentioned during our previous call in August. Continued improvement in ZipRecruiter’s employer-focused features and our focus on larger enterprise customers resulted in an all-time high revenue per employer of $1,673 in Q3 ‘22, up 33% year-over-year. Performance-based revenue, which is driven by our larger enterprise customers, increased by 29% year-over-year. Performance-based revenue in Q3 ‘22 comprised 23% of total revenue, up from 19% in the prior year. GAAP net income was $20.6 million in the third quarter of 2022 compared to net income of $13.1 million in Q2 of the current year. Q3 ‘22 adjusted EBITDA was $51.7 million, equating to a margin of 23% compared to $42.5 million, a margin of 20% in Q3 ‘21; and $45.4 million, a margin of 19% in Q2 ‘22. The adjusted EBITDA margin expansion year-over-year primarily reflects our commitment to prudent capital allocation at all stages of the economic cycle. Cash, cash equivalents and marketable securities was $669.7 million as of September 30, 2022, compared to $699.9 million as of June 30, 2022. The decrease in cash, cash equivalents and marketable securities quarter-over-quarter was primarily due to $53.5 million spent on repurchases of 3 million shares of Class A common stock under our share repurchase program during the third quarter. Additionally, we announced that our Board of Directors has authorized a $200 million increase to the company’s share repurchase program. This is in addition to the previous authorization of $250 million in total earlier in 2022. Turning to guidance. Our Q4 ‘22 revenue guidance of $206 million represents a 6% decline year-over-year at the midpoint. While this reflects our view of the continued softening in the labor market through the end of the year, we also note that the year-over-year revenue growth in the comparable period of Q4 ‘21 was 93%, accelerated by a rush of hiring activity related to the post-pandemic reopening of the economy. Our Q4 ‘22 revenue guidance implies full year revenue of $900 million, reflecting 21% year-over-year. Our Q4 ‘22 adjusted EBITDA guidance of $42 million equates to 20% adjusted EBITDA margin at the midpoint. At $176 million, our full year adjusted EBITDA guidance reflects an adjusted EBITDA margin of 20% at the midpoint, which is higher both in dollars and as a percentage of revenue than both our prior guidance and our margin in 2021. The increase in adjusted EBITDA reflects our dedication to investment discipline in all economic cycles, while still allowing us to maintain significant investments in our product dimension technology. We enjoy the strategic advantage of being nimble in all economic environments, with over $660 million of cash on hand, increasing profitability in 2022 and a flexible operating expense profile we believe we are well positioned to judiciously allocate capital in pursuit of high returns on investment. We remain more excited than ever before that ZipRecruiter is at the center of transforming how people find work as we continue to actively connect people to the next great opportunity. With that, we can now open the line for questions. Operator?
Operator: [Operator Instructions] We will go first this afternoon to Trevor Young of Barclays.
Trevor Young: Great, thanks. First one, just on the beat versus the high end of your guide, can you help us understand what the two or three key drivers of that outperformance was relative to your own expectations? Was KPEs holding up better or the revenue per paid employer maybe it was the composition with performance-based revenues holding up quite a bit better than subscription? Just trying to get a sense as to what drove that outperformance?
Tim Yarbrough: Hi, Trevor, this is Tim. It really was a combination of both the number of paid employers in the marketplace as well as the revenue per. So the quarter shaped up a little bit better than we had expected when we put out guidance last time around, but the win was really kind of multifaceted in terms of better performance both on the SMB as well as the enterprise side.
Trevor Young: Got it. That makes sense. And then just as we think about 4Q, I know you don’t give specific guide on employers versus revenue per, but just in light of the Q-on-Q decline in this quarter and kind of normal seasonality, should we think about 4Q being kind of a similar sequential trajectory to either this last quarter or even 4Q of last year?
Tim Yarbrough: Yes. So typically, in a typical seasonal quarter in Q4, you would see the total number of paid employers tick down. And it’s a function of primarily SMBs stopping their hiring practices throughout the balance of the year as they go into the holiday period, while larger employers are ramping up for the holiday season. And so on balance, the total number of paid employers, usually come down. I think what we will probably experience is a little bit more of a dampening on that number, given the macroeconomic climate that we’re in right now. But then I would expect to see revenue per paid employer tick up as is pretty consistent within a typical Q4.
Trevor Young: Great. Thanks so much.
Operator: Thank you. We go next now to Ralph Schackart at William Blair.
Ralph Schackart: Good afternoon. Thanks for taking the question. The revenue per employer growth was strong again, I think, around 33% – up 33% year-over-year. Maybe just if you could sort of parse out maybe the top one or two factors that are driving that? I know you talked about product improvements, but just any color just sort of what’s driving that strength?
Tim Yarbrough: Yes. Ralph, this is Tim again. Two big things driving revenue per employer, you are right, 33% up year-over-year, up sequentially as well. There is two big drivers. One would be our marketplace fundamentally works like an auction. So employers, especially as they age with us, they tend to spend up over time and that can show up in a bunch of different ways, but they can post more jobs or broaden their distribution or reach of their job adds over time, and that’s a trend that we’ve seen consistently over the many years that we’ve been doing this. The second big driver is our slow and steady push towards the enterprise side of our – side of the business. So assuming way out, we’re still getting started on enterprise we see it as roughly half of the overall market. We saw the percentage of performance-based revenue, which is a pretty good indication of our enterprise business we saw that increase to 23% of total revenue versus 19% last year. And then the total raw dollars increased by 29%. So we expect that trend to continue. But as that trend does continue, that will push up the revenue per employer over time, likely.
David Travers: Yes. This is Dave. Just to add on to that – just to put a point on it. We are incredibly excited about the enterprise part of our business. It is, as Tim said, half of the market opportunity and well, less than half than our business – of our business today. And while we grow our marketplace, we are very confident in our ability to – as it grows overall to grow the share of revenue that comes from enterprise, whereas the SMB part of the business started – when the business started over a decade ago, we’re just 2 or 3 years into really making a focused effort in our enterprise go-to-market and we’ve got a lot of investments in flight and a lot of wood to chop there, but tons of reason for optimism and see tremendous opportunity there. And one of the biggest factors why is because SMB and enterprise customers are similar in a foundational way. They both want great candidates. And our whole strategy around Phil, around personal recruiter, around increasing the quality of our algorithms and the quality of our matching delivering more great candidates faster, that works for enterprises, and we see it working. And fortunately, they have very resilient hiring needs, so we expect to see that business do very well.
Ralph Schackart: Great, thanks. And just one follow-up, I think last quarter, you talked about you saw the sort of pace of hiring start to cool towards the end of June, if I’m not mistaken. I’m just curious if you could comment on the pace of that cooling and maybe how that trended this quarter vis-à-vis sort of what you saw last quarter? Thank you.
Tim Yarbrough: Yes. So the – on the last call, we noted that we saw things start to cool down, specifically in June and what we saw this quarter is that, that same cooling generally continue throughout the quarter in Q3.
Ralph Schackart: Okay. So any major pace changes or sort of like the same trend line that you saw last quarter, roughly?
Tim Yarbrough: Same trend line.
Ralph Schackart: Okay, thanks, Tim. Thanks, Dave.
Operator: [Operator Instructions] And we go next now to Eric Sheridan. We go next now to Doug Anmuth at JPMorgan.
Doug Anmuth: Thanks for taking the question. Tim, maybe just talk a little bit more about performance-based revenue, kind of the uptick there in terms of the percentage, just kind of where you think that can go over time? Thanks.
Tim Yarbrough: We’re really struggling to hear you there. Can we hear that 1 more time? Apologies. What was the question?
Doug Anmuth: Sorry. Just on performance-based revenue, the drivers and where that goes over time?
David Travers: Yes. So performance-based revenue is largely driven by larger employers who have sophisticated applicant tracking systems in a whole HR tech stack that is driven around driving candidates on a performance basis where they are buying from us on a per-click basis for the most part. And so the driver there is that, a), we are tremendously under-penetrated in that part of the market vis-à-vis the market opportunity; and two, that the – our go-to-market there is much more nascent. So there are both a bunch of companies, very large companies with very significant hiring needs where we’re still talking to them and signing them up for the first time each quarter, and several of our existing enterprise customers, when we get in we get in with them and start out maybe with just one division or one set of jobs as opposed to getting all their jobs and then increasing the share of their overall budget each passing month and each passing quarter as we prove value. And over and over again with customers of all sizes, but especially sophisticated enterprises, we’ve seen that as we deliver more value, customers are willing to pay us more to get even more from our marketplace. And that’s how our marketplace works, when you pay more, you get more and enterprises are sophisticated and set up to invest behind success like that.
Doug Anmuth: Thank you, David.
Operator: [Operator Instructions] We will go next now to Eric Sheridan of Goldman Sachs.
Eric Sheridan: Thanks so much for taking the questions. Maybe a two-parter. You guys have experimented a lot with continuing to push elements of the marketing dynamic and raise awareness of the platform overall in the last 12 months to 18 months. Any thoughts about key learnings from that marketing – those marketing initiatives? And how we should be thinking about that setting up the platform over the medium to long-term? And as you get elements of dislocation in the labor market with layoffs in certain areas of weakness, are there any plans to necessarily lean in on the candidate side to make sure people are aware of the platform just in terms of maybe possibly sort of capturing some market share dynamics on the candidate side of the equation, looking out into next year. Thanks so much.
Ian Siegel: Hi. This is Ian. I will take the first stab at this question. For a long time, internally, when we talk about winning, we say winning is becoming synonymous with the idea of the activity that they, either job seeker or the employer is going to perform. So, on the job seeker side, when they say, I need to go find work, we don’t want them to go to Google and do a search to find which job site they want to use. We wanted them to think I just go to ZipRecruiter and that’s where I am going to be able to find a job. That’s why for the past couple of years, and last year in particular, we ramped up spend so dramatically in anticipation of this moment. We expected that there would be a cooling in the number of jobs that would be open and available for job seekers. At which time, you would see a larger pool of people coming and searching for work on job sites again. We think of that as a leveling of the labor market for the last couple of years, there is definitely been a big advantage for job seekers. It’s been very easy to find the job. Well, now it’s going to get a little bit more complicated. And to your point, as job search intensifies, as the number of job seekers goes up and as their activity goes up, marketing will prove more effective. We have been laying that groundwork though, so that they are already aware of who we are. And we think this is going to drive higher ROI and it’s going to bring more job seekers to us as this period unfolds. We – this has been a calculated strategy, a multiyear strategy. And certainly, we feel like it was a worthwhile investment as we are already seeing increases in job seeker activity, in part from the macroeconomic backdrop, but also thanks to the persistent work and investment we have been doing on our product. So, when you look at our AI personal recruiter sale, the impact he has on every part of our product where we introduce him is profound. If you look at onboarding users – the number of job seekers who get through that process is 2.7x higher list fill than it was prior to that. If you look at the number of people completing our profile, it’s up basically double. If you look at the impact of those job seekers having a profile, it makes them an order of magnitude more likely to get directly recruited by an employer through the form of being invited to apply. That’s the best experience we can provide to job seekers. And we think that as we go through this period, where the need of job seekers is going to become more intense, giving them an extraordinary experience is something that’s going to create long-lasting brand loyalty to ZipRecruiter.
Operator: And Mr. Sheridan, do you have anything further to place here?
Eric Sheridan: No. Thank you.
Operator: Thank you, Mr. Sheridan. Our last question this afternoon is from Mark Mahaney of Evercore.
Mark Mahaney: Thanks. I wanted to try a left field question, which is I think we are likely to see a fair number of layoffs from sectors of the economy that – there were a few of them that really benefited from the COVID crisis. And I am thinking about online advertising and online retail, and maybe some subscription businesses. And then that’s where you are going to start seeing pretty material layoffs. I think today’s news from Facebook is just an example of that. And I think we are going to see more of that. So, could you just talk about that? I am trying to figure out what that means for ZipRecruiter. Your exposure to that on the job seeker side, I think that would be really positive. I don’t know what your enterprise exposure is on the employer side. That dynamic, just talk about if that’s material to your business and then I can’t tell whether it’s materially positive or negative.
Ian Siegel: Yes. I think the answer to that question is similar to the answer to the previous question. In that, we are entering a period of labor market rebalance, basically at the onset of COVID, when the economy reopens shortly thereafter and all these businesses had to hire back up, there was an abundance of jobs and very few skilled job seekers available to do the work. It was a golden age for job seekers, and it was very tough to find talent. Now, we are entering a period where there is going to be less jobs and it’s going to happen across a number of skilled categories as well as a number of unskilled categories. And so effectively, every sector of the economy is going to feel the pain as it were from a job seeker perspective. For ZipRecruiter, this is actually, in some ways, a silver lining boon because what it does is it puts more talent into our marketplace, which really lets the algorithms that we have been training and retraining and optimizing really flex what they are capable of. Because fundamentally, what our services is a matchmaker, so the more inventory it has to match for employers, the more opportunities it has to bring the right employer together with the right job seeker, the more construed stuff. And we feel really good about the awareness we have created with job seekers over the last couple of years, again, over 70% awareness, which puts us in rare air with the elites inside of the category. And we think there is going to be a pretty sizable wave of increased job seeker activity over the next 18 months, and we expect to be one of the recipients of that.
David Travers: Yes. Just to add on there, Mark, just and specifically, how does tech layoffs impact our business. Our business looks like the U.S. economy, both on a geographic basis, on an industry basis, on a job skill level basis. So, we have a good mix. Tech is a good-sized chunk, but so is healthcare, so as travel and leisure, construction, etcetera, etcetera. And so what we see right now already at this phase of the cycle is that tech is a little weaker than healthcare, as an example, which is a little stronger in the current environment. And so will we feel a little bit of that from a revenue standpoint on the tech side, yes. Do we have a disproportionate impact from that, no. There is no one single industry that we have a disproportionate sort of exposure to that we will be especially sensitive to.
Mark Mahaney: Okay. And then Dave, if I could do one quick follow-on question on the – and I am sorry if you – I apologize if you covered this earlier. The sales and marketing expense line, and you described it in the press release, what’s happened there. And we have had a couple of quarters now of nice leverage on a year-over-year basis after what was deleveraged for several quarters. How should we think about that going forward? I think it’s partly because you are pulling back on media marketing. I can’t tell whether that’s just a reflection of maybe media marketing is cheaper now for economic reasons, or you are just at a cycle where you have less need to do that? So, just walk through what – how to think about that particular line over the next year or so.
Tim Yarbrough: Yes. Thanks Mark. This is Tim. So, generally speaking, what you are seeing is more so the latter of the two actions that you gave, where we are bringing down spend a little bit as we see overall demand on the employers side start to wane a little bit. And that’s consistent with our playbook. We have maintained a very – a highly flexible cost structure. So, that means that we can pivot up or down based on demand, so that we can pursue the best ROIs. That said, I know you asked specifically about sales and marketing, but we are continuing to increase our investment on the product and technology side. We see that as our way of building a better and stronger moat around our business. But specifically on sales and marketing, as we see specific ROIs in our marketing acquisition channels start to come down a little bit, we are going to conserve capital.
David Travers: This is Dave. Just to add on to that. So, a couple of things. One, to answer the one part of that question, we don’t see price dropping on media as a major driver of what you are seeing in our P&L at this point. So, that’s not something that has been a significant mover at this point. And zooming out from the specifics of this quarter, next quarter or anything like that, we remain extremely confident in our ability to get operating leverage over time to our 30% long-term EBITDA margin target. And the reason there is principally sales and marketing, where we are going to be able to grow the business faster than we need to grow sales and marketing because we are already reaching such a high percentage of both employers and job seekers in the market as sort of proven by the fact that we have over 70% brand awareness among job seekers and over 80% brand awareness among employers. So, we are reaching them. We want to stay top of mind. We want to tell them even more about the latest product innovation, how ZipRecruiter is better than they have ever experienced before as our product continues to get better, but we just won’t need to grow that over time at the same rate, even if there is quarter-to-quarter variations as we see opportunistic moments to spend up or spend down a little bit.
Mark Mahaney: Okay. Thanks Dave. Thanks Tim. Thanks Ian.
End of Q&A:
Operator: Thank you. And ladies and gentlemen, that will bring us to the end of ZipRecruiter’s Q3 2022 earnings conference call. We would like to thank you all so much for joining us this afternoon, and wish you all a great remainder of your day. Good bye.